Operator: Hello and welcome to the PacBio First Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the call to Todd Friedman, Senior Director of Investor Relations. Please go ahead. 
Todd Friedman: Good afternoon, and welcome to PacBio's first quarter 2024 earnings conference call. Earlier today, we issued a press release outlining the financial results we will be discussing on today's call, a copy of which is available on the Investors section of our website at www.pacb.com or as furnished on Form 8-K available on the Securities and Exchange Commission website at www.sec.gov. A copy of our earnings presentation is also available on the Investors section of our website at www.pacb.com. With me today are Christian Henry, President and Chief Executive Officer; and Susan Kim, Chief Financial Officer. On today's call, we will be making forward-looking statements, including statements regarding predictions, progress, estimates, plans, intentions, guidance, and others, including expectations with respect to our growth potential, instrument and consumable sales, our commitment to create a sustainable cash flow positive company by the end of 2026, expectations with respect to certain customers being early in the ramp-up and measures to increase their utilization, GAAP and non-GAAP guidance and expected benefits of using PacBio products or technologies and new product expectations. You should not place undue reliance on forward-looking statements because they are subject to assumptions, risks, and uncertainties that could cause our actual results to differ materially from those projected or discussed. We refer you to the documents that we file with the SEC, including our most recent Forms 10-Q and 10-K, and our recent press release to better understand the risks and uncertainties that could cause actual results to differ. We disclaim any obligation to update or revise these forward-looking statements except as required by law. We will also present certain financial information on a non-GAAP basis. Non-GAAP information is not prepared under a comprehensive set of accounting rules and should only be used to supplement in understanding of the company's operating results as reported under U.S. GAAP. Management believes that non-GAAP financial measures, combined with U.S. GAAP financial measures, provides useful information to compare our performance relative to forecasts and strategic plans, and benchmark our performance externally against competitors. Reconciliations between historical U.S. GAAP and non-GAAP results are not presented in tables within our earnings release. For future periods, we are unable to reconcile the non-GAAP gross margin and non-GAAP operating expenses without unreasonable efforts due to the uncertainty regarding, among other matters, certain acquisition-related items that may arise during the year, including future changes in fair value adjustments of contingent consideration and allocation of amortization expense attributable to certain acquired intangible assets. Please note that today's call is being recorded and will be available for replay on the Investors section of our website shortly after the call. Investors electing to use the audio replay are cautioned that forward-looking statements on today's call may differ or change materially after the completion of the live call. Finally, we will be hosting a question-and-answer session after our prepared remarks. We ask that analysts please limit themselves to 1 question so we could accommodate everybody in the queue. I'll now turn the call over to Christian. 
Christian Henry: Thank you, Todd, and thank you for joining our call today. In today's remarks, we will discuss some of the factors that contributed to our previously announced revenue shortfall and revised full-year guidance. We will also discuss the steps we are taking to return to revenue growth and why we are confident in the assumptions underlying our updated financial forecasts. Finally, we will share our re-focused priorities for 2024, which we believe will position us to build PacBio into a sustainable, cash-flow-positive company with the ability to execute in any macro environment. While we forecast near-term growth to be lower than our original guidance for 2024, we have never been more confident in the value of our platforms, our long-term growth potential, and our ability to capture market share in the multi-billion dollar sequencing opportunity. But first, let's recap the first quarter. Consistent with our pre-announcement on April 16, revenue of $38.8 million for the first quarter was below expectations due to an increasing number of customers delaying instrument purchases and softness in consumable shipments. Based on the first quarter results and our expectation that some of these external factors will likely persist throughout 2024, we expect full-year revenue to be in the range of $170 million to $200 million. The instrument shortfall primarily resulted from elongated customer purchasing cycles, as the median sales cycle for Revio instrument purchases increased more than we expected in the first quarter of 2024. More specifically, we believe that the sales cycle increased primarily because of uncertainty surrounding the timing of funding for new capital equipment, particularly in the United States and China, smaller Sequel II and IIe customers who are planning to upgrade to a Revio are waiting for the samples to drive that upgrade, and an increasing proportion of the sales pipeline is comprised of new customers in the first quarter of 2024, which have proven to have longer sales cycles compared to those existing PacBio customers. While consumable revenue grew 15% year-over-year, it was also below our expectations. We believe this was primarily attributed to the slower-than-expected ramp-up in sequencing by our small and mid-sized customers, many of whom are new to PacBio; the time for new Revio customers and new projects to reach full capacity has been slower than we anticipated; sample delays impacting sequencing volume in the quarter for certain large customers; and some smaller service providers in China operating at lower utilization as a result of the challenging funding environment. In Q1, more customers than we expected utilized their Revio systems at less than 20% capacity. Many of these are newer customers and the average age of the systems in this category was less than 4 months, which we believe indicates that these customers are still early in their ramp-up. The pace of the ramp is dependent on a number of factors including, the timing of sample availability, lab readiness, and funding, among other reasons. We are putting measures in place that we believe will help these customers ramp to their full utilization as timely as possible, and help drive consumable growth going forward. Moving on, we are implementing several strategies aimed at accelerating instrument and consumable revenue. First is an intense focus on the customer to drive new sales opportunities, close existing deals, and accelerate consumable revenue ramp-up time. And among other activities, this involves, launching our PRISM customer-focused roadshows. These events include discussions and workshops with PacBio users and key opinion leaders in genomics where they'll engage and share the groundbreaking science that Revio is enabling. We're organizing events across 6 global cities with approximately 1,000 registered attendees representing over 500 organizations many of whom we believe will become future Revio users. We're reducing the stands and layers in the commercial organization, which will allow leadership to get closer to and more involved in the sales process. We're also establishing tiger teams to actively work with low-volume customers to accelerate their Revio ramp and collaborate with them to secure samples to feed their sequencer and we're continuing to collaborate with customers to demonstrate the value of HiFi long-read sequencing to drive long-term durable revenue. Second, we're addressing the upfront CapEx barrier some customers face when assessing HiFi, and we're doing this by implementing promotions that ease customers' upfront CapEx requirements and we're doing this in ways that preserve PacBio's overall economic value. These promotions have already created more funnel opportunities, which we believe will close this year, and we're focusing our product development on a benchtop platform, which will allow for a lower CapEx entry and upon launch, potentially open up PacBio HiFi sequencing to hundreds of new global customers. Third, we're expanding the market and applications addressable with Revio and HiFi. As I'll discuss shortly, we are investing in developing library prep and informatics solutions around Revio that enhance the platform's value proposition. These launches include PureTarget for targeted clinical research applications and Kinnex for transcriptomics, and 16S metagenomics, and we're also developing future enhancements that we believe will further reduce DNA input requirements below one microgram of DNA for a 30x whole human genome, potentially opening up more existing samples and new projects to HiFi sequencing. Looking ahead, our pipeline of sales leads has continued to grow each quarter since we launched Revio. We believe our current sales pipeline is sufficient to at least support the midpoint of our guide of 120 Revio systems, which provides further confidence in our revised revenue targets for 2024. There's no doubt that PacBio and our industry are facing increasing headwinds this year. However, we remain incredibly optimistic about our business and the prospects for long-read sequencing. Our powerful sequencing technologies continue to play an important role in revolutionizing genomics, and the demand for, and interest in our products indicates the tremendous market opportunity ahead. One encouraging indicator is the amount of data customers generate with their sequencers. Growth in this metric demonstrates increasing utility and broader acceptance of long-read HiFi technology. In the first quarter, total data generated from PacBio long-read sequencers grew 2.5x from the first quarter of last year. This growth is a testament to the overall interest in Revio and the continued market share gain for long-reads. As of March 31st, just over -- just 1 year after commercialization, we surpassed 200 cumulative Revio shipments, marking the fastest installed base ramp in PacBio history. From a throughput perspective, this has the same power as over 3,000 Sequel IIe's, our previous generation platform. This rapid scale-up demonstrates our customer's desire to sequence using PacBio HiFi more than ever, but it will take some time for them to migrate projects and samples to this newfound capacity. We've been exceptionally pleased with the number of new customers adopting Revio, as 57% of the systems shipped in the first quarter went to new PacBio instrument customers. These customers included the University of Tartu, host of Estonia's National Biobank. The team selected Revio exclusively over other short and long-read technologies to sequence 10,000 whole human genomes as part of their goal to adopt personalized medicine at scale and understand the underlying genetics of health, disease, and treatment outcomes. It also includes the first Revio in Latin America which will be used by a customer in support of a 1,000-sample human genome project. These new Revio customers add to the existing multi-thousand sample projects that we've shared over the past year, such as large-scale human genomics program in Singapore which is expected to start sequencing this quarter and continued sequencing for the All of Us and Million Veterans Program in the United States. We're also pleased to announce that Ambry Genetics has joined the collaboration with the GREGoR consortium and the University of California, Irvine and aims to sequence up to 7,000 long-read HiFi genomes over the next three years, focusing on developing new insights into rare disease etiology and treatment. Revio enables more than just large-scale research studies. Hospitals are increasingly seeking to implement Revio to achieve unprecedented insights into genetic and rare disease. It includes existing PacBio customers like Seoul National University Hospital, which utilized one of our recently-announced instrument promotions and plans to use HiFi long-read technology to improve its testing capabilities in rare disease and cancer. Also, a leading pediatric hospital in Canada purchased a Revio; its first PacBio system to sequence 1,500 rapid whole genomes of critically ill infants. HiFi was the clear choice for this clinical-oriented customer as the other long-read sequencing technology proved too high in error rate. To support these customers, we are continuously enhancing our software, launching new library prep, and sample prep solutions which make PacBio sequencing more turnkey and more accessible than ever. Additionally, we believe these new products will help contribute to a recurring revenue stream outside the core SMRT cells and sequencing reagents used to run Revio. We've seen tremendous interest in our recently launched Kinnex full-length RNA kits. Launched in the fourth quarter of 2023, we've booked orders for 160 customers as of March 31, totaling over $1.5 million. The PacBio PureTarget panel was launched and began shipping in late March, allowing for comprehensive characterization of repeat expansions. Expansions of repetitive DNA sequences have been linked to over 50 monogenic disorders and cancers. This kit enables customers to interrogate some of the most critical and hard-to-sequence genes related to these diseases and multiplex up to 192 samples on the Revio system. Combined with our TRGT repeat expansion caller and Nanobind DNA extraction kit, it allows for an easy and scalable workflow to capture repeat expansions, bringing customers from sample to answer in 3 days. We just started shipping these kits in March, and we are already seeing great interest from customers ranging from pediatric hospitals to large commercial testing labs, biopharma, and academic labs. Launched in the first quarter, our HiFi Prep and Plex library kits further enable our customers to automate and scale on Revio. These kits allow Revio customers to prepare up to 96 libraries at a time at a lower cost per library, and some of our largest customers are adopting these kits to help them further scale their projects. We expect the kits to be particularly beneficial for microbial genome and low-pass large genome sequencing, where library prep costs are a large percentage of the overall workflow cost. The Nanobind PanDNA kit developed from the Circulomics technology supports a high molecular weight extraction from cells, bacteria, blood, tissue, insect, and plant nuclei. This new product consolidates the capabilities of our existing sample-specific offerings into a single solution for DNA extraction. Since we acquired it in 2021, over 1,000 customers have ordered Circulomics kits. This product line helps us deliver solutions to the thousands of lower throughput long-read users and can potentially serve as a funnel for our future benchtop long-read sequencer. We continue to be pleased with the traction of our sample extraction offerings, and excluding large OEM purchases from 1 customer, the first quarter was our most successful quarter for sample prep. Finally, our Version 13 Software continues to improve the Revio user experience. Nearly all customers are utilizing the recently launched adaptive loading feature, which improves customer experience by preventing overloading of the SMRT cell, allowing customers to load DNA more confidently and achieve higher and more consistent yields. With V13 enabled on almost every Revio, the mean yield per SMRT Cell for whole genome sequencing runs in 2024 is approximately 5 gigabases higher than in 2023. We continue to see success with our Onso platform. Instrument shipments grew again in the first quarter, and the installed base now spans 6 continents. We've completed our consolidation of Onso instrument and consumable manufacturing into our Menlo Park facility, which allows us to fully leverage our operational infrastructure. So now, let's look ahead and discuss our 4 strategic priorities going forward. First, improving our commercial execution to drive adoption of both Revio and Onso. We are placing a greater focus on the value proposition of HiFi sequencing and increasing collaboration with customers, purchasing departments, and decision-makers. We are also working to improve our partnership with customers, post-instrument purchase, to ensure that they are getting samples into their lab to feed their Revio. With respect to Onso, in the first quarter, we scaled the manufacturing of the platform, enabling us to deliver instruments based on demand much more rapidly, which will help drive our ability to sell the system. Additionally, we've identified opportunities to drive manufacturing improvements and lower the unit cost of consumables, which gives us the flexibility to lower the list price on Onso flow cells and reagents to as low as $8 per gigabase. With these advances, along with a more focused and targeted selling effort, we believe that we can be very competitive in this market. Second, continuing the development of new platforms that are expected to broaden our product offering and drive our revenue growth. We continue to believe that developing a multi-platform portfolio is important for our success, enabling us to reach more customers and drive technology adoption. While we expect the Revio platform to be the primary contributor to revenue over the next few years, we are aggressively pursuing the development of a long-read benchtop system, which will have a much lower capital cost, enabling us to reach a new subset of lower throughput customers and provide flexibility to existing Revio customers through fleet expansion. We believe that this instrument will address a market of over 1,000 potential customers. We are also developing a high-throughput short-read platform that is expected to enable us to serve high-throughput labs with our leading Sequencing by Binding technology. This highly accurate technology is perfect for needle-in-a-haystack applications such as liquid biopsy. We believe it will be highly competitive in terms of both throughput and cost relative to other high-throughput offerings. The addressable market for this platform is estimated to be over $1 billion per year. We are also continuing to develop our next generation SMRT Cell. This cell is expected to power a new, extremely high-throughput long-read platform, enabling throughput dramatically higher than that of the Revio system. Third, we're implementing projects to improve our gross margin and drive manufacturing efficiencies. A cornerstone of our path to cash flow breakeven is our ability to improve gross margins through revenue mix and unit cost reduction. We've already reduced the production cost of both the Revio instrument and a 25M SMRT Cell and expect more improvements this year and beyond. Outside of our next-generation platforms, this is a critical R&D and operations effort that we will continue to invest in. Finally, we're reducing annualized run-rate operating expenses. Last week, we began implementing our restructuring plan to reduce operating expenses. As part of that, we made the difficult decision to reduce our total headcount by approximately 25%, or 195 employees, and close our San Diego office. Virtually all functions within the company were impacted. The reductions are being made based on our refocused priorities that I discussed above. As a result, I believe that we have the resources required to achieve our near-term priorities. With these reductions, along with other non-headcount related savings, we now expect to lower our non-GAAP operating expenses on an annualized run rate basis by more than a $75 million reduction by year-end. This is above the range we provided in our pre-announcement on April 16. We believe that it positions us to deliver on our commitment to our plan to create a sustainable, cash-flow-positive company by the end of 2026 and enable us to continue to provide scientists with some of the best technologies that push the boundaries of biological discovery. And with that, I'll pass the call to Susan to discuss our financials. Susan? 
Susan Kim: Thank you, Christian. As previously mentioned, we reported $38.8 million in product, service, and other revenue in the first quarter of 2024, compared to $38.9 million in the first quarter of 2023. Instrument revenue in the first quarter was $19.0 million, a decrease of 8% from $20.7 million in the first quarter of 2023. The decrease was due to lower Revio unit shipments. We ended the quarter with an installed base of 201 Revio systems. Turning to consumables, we delivered revenue of $16.0 million in the first quarter, a 15% increase from $14.0 million in the first quarter of last year. Approximately 69% of consumable revenue came from Revio systems, which reflected an annualized pull-through of the Revio system of $254,000 and the remaining consumable revenue from other systems and other consumables. We expect Sequel II and IIe's share of total consumables to continue declining as we continue shipping Revio and customers transition to the new system. Finally, service and other revenue was $3.8 million in the first quarter compared to $4.2 million in the first quarter of 2023. The decline was primarily due to customers transitioning to the Revio systems, which includes a first-year warranty, and opting not to renew their Sequel II/IIe service plans. From a regional perspective, revenue in the Americas was $17.7 million, a 7% decrease compared to the first quarter of 2023. This was driven by a decline in Revio shipments as Revio systems sales took longer to close. We believe the majority of Revio system opportunities that slipped out of the first quarter pipeline encountered challenges with funding. Consumable growth in the quarter was partially offset by delays in large project spending and sample availability at high-utilization sites. For Asia Pacific, revenue was $12.8 million, up 7% versus the prior year with headwinds in China partially offsetting growth in other countries, including Japan. We believe China Revio sales were impacted by capital funding challenges and lower Revio sequencing pricing offered by large service providers, delaying the need to directly purchase Revio instruments by the smaller labs. Looking ahead, we're encouraged by new modernization initiatives in China. We believe these will boost R&D capital spend, including sequencing instruments, as several potential customers have already applied for Revio funding under this program, albeit it's too soon to factor this into our 2024 expectations. Finally, EMEA revenue was $8.4 million, up 6% over the prior year period, but was lower than previously anticipated as some instrument deals were delayed and for some new system orders shipped, the associated consumable orders were pushed to the following quarter after installation. Moving down the P&L, a GAAP gross profit of $11.3 million in the first quarter of 2024 represented a gross margin of 29% compared to a GAAP gross profit of $9.8 million in the first quarter of 2023, which represented a gross margin of 25%. First quarter 2024 non-GAAP gross profit of $12.6 million represented a non-GAAP gross margin of 33%, compared to a non-GAAP gross profit of $9.9 million or 26% in the first quarter of last year. Non-GAAP gross profit in the first quarter excludes approximately $1.3 million of expenses for the amortization of acquired intangible assets. Gross margin increased year-over-year primarily due to adjustments of approximately $3.5 million recognized in the first quarter of 2023 primarily related to excess Sequel II/IIe consumables inventory that resulted from a faster-than-expected decline in demand for Sequel II/IIe due to the product transition to Revio. We are pleased to have completed the consolidation of our short-read consumable manufacturing for reagents and flow cells from San Diego to Menlo Park during the quarter, helping to lower production costs for every consumable kit we manufacture starting in Q2 2024. In addition, we transitioned the build of a key component on the Revio system in-house, which, since being implemented in March, has helped reduce the contract manufacturing overhead expenses on each Revio instrument built by tens of thousands of dollars. GAAP operating expenses were $92.6 million in the first quarter of 2024 compared to $101.0 million in the first quarter of 2023. Non-GAAP operating expenses were $87.2 million in the first quarter of 2024. This represents a 2% decrease from non-GAAP operating expenses of $88.7 million in the first quarter of 2023. Operating expenses in the first quarter included non-cash share-based compensation of $17.4 million, compared to $16.0 million in the first quarter of last year. Regarding headcount, we ended the quarter with 787 employees compared to 796 at the end of 2023 and 793 at the end of the first quarter of 2024. As a reminder, in April, we began implementing reductions in our headcount by approximately 195 employees and, therefore, expect to end the second quarter and full-year 2024 with a headcount of less than 600. GAAP net loss in the first quarter of 2024 was $78.2 million, or $0.29 per share, compared to a GAAP net loss of $88 million in the first quarter of 2023, or $0.36 per share. Non-GAAP net loss was $71.4 million, representing $0.26 per share, in the first quarter of 2024, compared to a non-GAAP net loss of $75.5 million, representing $0.31 per share in the first quarter of 2023. Turning to our balance sheet items. We ended the first quarter with $561.9 million in unrestricted cash and investments, compared to $631.4 million on December 31, 2023. Inventory balances increased in the first quarter to $67.3 million, representing 1.7 inventory turns, compared to $56.7 million on December 31, 2023, representing 2.9 inventory turns. The increases in inventory primarily reflects purchases of Revio and Onso instruments and consumables inventory. Accounts receivable decreased in the first quarter to $30.3 million compared with $36.6 million at December 31, 2023. Now, to expand a bit on our financial guidance. Consistent with our pre-announcement on April 16, we believe full-year 2024 revenue to be between $170 million and $200 million. At the midpoint of this guidance, we assume $85 million of instrument revenue, which includes 120 Revio shipments making Revio still the fastest-growing sequencer in PacBio history. We expect $80 million in consumable revenue, which assumes an annual pull-through of $290,000 for the Revio platform. Moving down the P&L to gross margin, we now expect full-year gross margin to be between 35% and 38%, lower by 1 point at the midpoint from our prior guidance due to lower volumes and revenue. We have made significant progress on improving the per unit cost of both Revio instruments and Revio consumables and expect to end the year with Revio instrument costs 10% lower than when we launched the platform and consumable unit costs over 25% lower. These costs and operational improvements will continue beyond 2024, and are expected to drive quarterly gross margin expansion this year and going forward. Moving to operating expenses, we now expect non-GAAP operating expenses to decline year-over-year from the $355 million we reported in 2023, and be approximately $300 million to $310 million. Specifically, at the midpoint, we expect $150 million in non-GAAP research and development expenses and $155 million in non-GAAP selling, general and administrative expenses. As mentioned, we expect the non-GAAP annualized amount of these savings to be above the high end of our $50 million to $75 million range by year end, and, as a result, we expect full-year non-GAAP operating expenses to decline in 2025 compared to 2024. We continue to expect $5 million to $10 million in interest and other income, 273 million in weighted average shares outstanding for the full-year 2024, and we continue to expect ending cash, cash equivalents and investments to be in the range of $435 million to $450 million, representing a cash burn of $189 million at the mid-point. As a reminder, we announced that we were unlikely to achieve our previous long-term guidance. While we are not providing updated figures today, we remain committed to our plan of turning the business cash flow positive by the end of 2026 under various revenue scenarios, which include revenue growth in 2025 and beyond with new products and growing consumables off increasing Revio installed base, expanding gross margins with reduced manufacturing per unit costs and continued mix shift to consumables, and lower non-GAAP operating expenses in 2025 compared to 2024 with minimal growth thereafter. We will provide more details behind our assumptions and our updated long-term guidance at a later date. I'll now turn it back to Christian for some final remarks. Christian? 
Christian Henry: Before we move to Q&A, I just wanted to leave you with 3 things I hope you take away from our call. One, our business and industry are facing headwinds, which we believe are short-term. Two, we have a clear plan to address these issues, which includes proactively working with our customers and focusing our talented people and resources on our highest-potential technologies. It also involves right-sizing our organization and expenses to align with the lower near-term revenue expectations. We are also firmly committed to our plan of achieving positive cash flow exiting 2026. And finally, we remain optimistic about our technology and the power of our differentiated platforms. We are confident that we have the right plan in place that will enable us to capitalize on the long-term growth and value-creation opportunity ahead of us for the benefit of scientists and clinical researchers around the world. We continue to be energized by countless stories of customers utilizing our technologies to look deeper into the genome and uncover biological insights that are otherwise undetectable. With that, I'd like to open the call up to Q&A. Operator? 
Operator: [Operator Instructions] Today's first question comes from Kyle Mikson with Canaccord. 
Kyle Mikson: So Christian, a few years ago you set these really exciting medium-term growth and margin targets, right? And since then, you've had to withdraw those. You just went over that. You're probably not going to come close to hitting those numbers. I think you probably seem confident on cash breakeven, but we'll see what happens there. So definitely, there's been some external factors. A lot of it seems to be due to changes in the Revio forecast, maybe some of the other products as well that you plan on watching. I guess Christian, just how do you kind of regain investor confidence and support in both the demand for the Revio as well as these future long-read sequencers as well as PacBio's ability to provide appropriate and achievable financial guidance going forward? 
Christian Henry: Yes. Thank you for the question, Kyle. Obviously, regaining investor confidence is front and center for us. And I think the first thing we've done is we've recognized that our revenue trajectory is not what we had forecast. And we made aggressive moves quickly to right-size our spend envelope so that we can confidently say that we're committed to being cash flow positive in 2026. And being cash flow positive in 2026, as Susan pointed out, we do have some expectations like we do believe that we are going to be able to grow revenue. But we believe we can achieve positive cash flows with really a modest revenue ramp from here. And so I want to make sure that that's well understood that we are not planning to achieve the moon to get to positive cash flows. But we are very -- we are looking to be very disciplined about how we match our expenses with our revenue growth. So that's the first thing with investors is demonstrating our commitment to running this business responsibly. The second thing is to continue on the path. Our strategy of building leading long-read technologies and building a short-read business as well is still intact in our view. We still see, on the long-read side, tremendous excitement and adoption of the technologies. As I pointed out in my remarks, we saw -- in the quarter, we saw 2.5x more sequencing than happening and data being generated than in just 12 months ago. That's pretty incredible when you think about where we're going and you think about what our competitors are saying. So we do think that there is a broad excitement about long-reads. Now the translation of that excitement into revenue is really focused -- we're focusing our efforts on working with our customers to try to shrink the purchase cycle as much as we can, given the macroeconomic constraints that we've been under. And that's why you saw us implement some promotional programs to reduce capital expenditure requirements. But one thing I'll point out there is that the way we've done these promotions, we still end up in the same economic place. It's really a timing of the cash flows issue for the company. So we're reducing the barriers to get into the technology. So those are just a couple of things that we're doing. At the end of the day, to regain investor confidence, I think it is pretty straightforward. It is demonstrate financial discipline, exhibit market leadership and then deliver revenues as we expect and then revenues -- improving gross margins and ultimately profits and positive cash flow. So a lot of work to do, Kyle, but we have a lot of excitement about what we're doing. It's certainly frustrating and it was certainly disappointing to have to make such a big move, but we made the move aggressively early, which gives us a great opportunity to get to positive cash flows. 
Operator: The next question comes from Dan Brennan with TD Cowen. 
Daniel Brennan: Maybe a 2-parter. Maybe just the first one, Christian, just on -- PacBio has been developing the long-read technology for over 10 years, and you guys are really differentiated there. And in this iteration, it's really -- the Revio has -- there's a lot of excitement in the marketplace. So I'm just wondering, given the balance sheet and given where the stock is and given the opportunity ahead on long-read and all the demand and interest, and you're just trying to refine the curve to kind of meet the demand in the right way, how come -- is it the right strategy to still be so committed to the short-read portfolio at this point where Onso is differentiated with the kind of the accuracy, but we really don't see kind of what the numbers are on Onso even, and then you're still committed to the high throughput? And so I'm just wondering, given the pressure on the company and given the opportunity you had on long-read, not only on Revio, but on the mid throughput, I'm just wondering why not cut back significantly on short-read to give investors more confidence in the path to this positive free cash flow? And then the second part, it would just be on Revio as we think ahead, this year and next year on placements. Just any color you can give us about how you're thinking about trying to kind of optimize your go-to-market strategy to kind of give us confidence towards growth in placements. 
Christian Henry: Yes. Dan, thanks for the question. And sure, of course, we've been thinking long and hard about how do we manage our business in light of our financial situation and in light of where the market is right now. And the good news -- we'll start with this. We have $562 million of cash on the balance sheet. So we are very well capitalized right now. We have a strong business and we believe we have both leading technologies on the long-read side and the short-read side. So we do believe we have a lot of assets and opportunities. The short-read side is certainly more competitive than it's been and ever been. And so we did have to ask ourselves, do we keep going? And what I would say to that specifically is, first, we just scaled up our production capability for the Onso systems. So the reality is that we've seen increasing shipments each quarter [ to 3Q, 4Q, Q1 ]. But we've been manufacturing constrained and we had some late development that we had to finish to make the chemistry even better. And so the reality is we're still just getting started in this opportunity. And we -- in conversations with customers, customers are excited about testing out the accuracy. Customers are seeing interest and value in it. But we haven't been able to deliver to that yet. And so I think that the way we're thinking about this is that we aggressively drive our marketing activities and our commercialization efforts right now on Onso. We think we can do that without sacrificing any of the commercialization opportunity with respect to Revio. And so we are going to be aggressively marketing the product over the next several quarters. And we'll see how the product does in the market. I think we're really just getting our feet under us, so to speak, there. On the short-read high-throughput side, we are already -- I'm very encouraged with the development we're making with the Apton technology that we acquired. We're already sequencing billions of reads at high accuracy. I was just in the lab late last week looking at new optical systems and advanced abilities for us to actually get super-high resolution images, which will really enable us to sequence fast at very, very high capability. And so that -- and then we've had customers come in actually into the office to look at the Apton technology, large lab-type customers. And they are -- the first conversations are, after they look at the data, when can we get an early access machine? So all that being said, what this means is that we are early in this journey. I believe strategically it's an important market for us, particularly these needle-in-a-haystack applications. And I do think we have both the resources, financially and personnel-wise, even after the reductions to execute on this portfolio. Of course, we will be very focused on how we do in the market in the next several quarters and evaluate it at the end of the year. So it's not like we're -- we are going to have both eyes open as we aggressively pursue this. The second part of your question, and I know that was a long answer to the short-read question, but I know a lot of people have that same question in their mind. With respect to Revio and driving demand, as I said in my prepared remarks, the funnel's been increasing every single quarter, but the sales cycle's been lengthening and a lot of it is new customers. So we're seeing new customers take 9 to 12 months to get to a purchase decision. And so I think that, that -- we didn't anticipate it would be that long. And so we're working on ways in which we can lower the barriers to entry through the capital, improve the proved HiFi proof cases, for example, with our PRISM events and how we're getting more customers engaged with our high runner customers and so that they can -- they could see how they could get up to scale and take advantage of this incredible technology. And so we have a lot of aggressive marketing and really hand-on-the-ground conversations that are going on right now to help these new customers to shorten the sales cycle. And then also help customers kind of in the middle of the market get more samples to their Revio so they can drive their utilization up so that they get ready to buy their second Revio. And we still have a significant number of instruments of Sequel IIe's that we can go after, and we're hopeful that some of the capital reduction plans that we've put in place will help us unlock some of that demand sooner rather than later. So those are just a few other things, Dan, and I appreciate the question. 
Operator: The next question comes from Doug Schenkel with Wolfe Research. 
Douglas Schenkel: Listen, it was a tough start to the year and you had to make some tough decisions quickly. So I hope you know that is appreciated. It's always tough to start the year this way. And I appreciate you moving quickly. With that in mind, it's good to hear that you think you can get to cash flow breakeven in 2026. And maybe this is asking Dan's question a different way or just trying to take it up a level. But if I oversimplify things a little bit, you kind of got 2 levers. You cut costs or you try to kind of grow into the infrastructure that you built. And it seems like you've kind of veered now to the former, cutting cost. But that ultimately hurts your ability to kind of scale up to be a bigger company. And there's a toggle between those things, right? And what I don't hear is kind of a pruning of the portfolio. So I'm trying to figure out how do you cut costs and how do we balance that. We want you to do that, but if you're cutting costs and you're not pruning the portfolio, simply put, it kind of feels like you're still trying to thread the needle a little bit. And if you're not investing as much and you don't have as much infrastructure, it kind of just hurts the probability of success with essentially everything other than Revio, I think. So help us understand, Christian, maybe I'm wrong, but if I'm not, is this a sign that you're in a way viewing the situation as something like don't let a good crisis go to waste and you feel like you can kind of level set and right-size and still kind of have the same vision for the company remain intact, it's just delayed a little bit? Sorry, that was a lot, but just want to kind of make sure we understand the logic here. 
Christian Henry: Yes. Doug, it's a great question. And I do think in challenging times, it forces you to be even more focused. It forces you to push the teams to move faster. And also from a pragmatic practical perspective, you need to right-size to match revenues and to create sustainability as a business. And so the levers -- you are right, there's 2 fundamental levers. There's actually really 3, right? There's drive revenue growth, improve gross margins and decrease costs. Those are the 3. We have -- when we started this project, I talked about the ability to develop multiple platforms simultaneously. And so we have a very large R&D budget. And we have done a lot of that work already to develop next generation products that are in parallel with Revio. And so what this really says is that our benchtop system is much -- is pretty far along and we're leveraging other technologies coming from Revio, for example, to make that system fly. And then we're also focused on -- we've been developing, for a long time, the high-throughput long-read capability. And so those projects have already been in motion. And by making some of the reductions, we're just recognizing that we've already put some of that bolus of work together. And it isn't going to impact our ability to get those products out on a reasonable time horizon. So it's something that I think a lot about is that how do you manage this. I don't believe -- if you look at where we did the reductions, we actually did the reductions just as much in -- as a percentage, just as much in G&A and commercial as we did in R&D. And that is getting u -- those reductions are focused on making us leaner, more flexible, the ability to move faster. We had to spend the first few years in this role as we build a new team to build the infrastructure to be able to manage the business as we grow. A lot of that work is done. Of course, you can always get better and do more, but the core abilities for us to monitor our revenue, manage our customers, drive commercialization relationships and marketing activities, those things are -- that infrastructure is built. And now we're able to leverage that infrastructure and reduce costs as a result of that. So you see costs coming down broadly across the whole company. I don't believe -- and I said very explicitly in my remarks, I don't believe that we have cut so deeply that we're sacrificing the product portfolio. Now, of course, there are some areas where we are reducing some investment for a while, and that'll be kind of the nice-to-have things. But we are still very, very focused on building a multi-product portfolio because we think that's fundamental to create a robust business. But we're still focused on creating incredible customer experiences. And the first principles we actually started with when we went into the reductions were #1, we have to take care of our customers and delight and consistent with our values; #2, we have to improve our commercial execution, we need to get better as a commercial organization to be able to forecast and then execute on these deals in spite of tough macroeconomic environment; and then #3, we need to develop this product portfolio because we do believe that this product portfolio will give us the ability to create $500 plus million of revenue. Perhaps it's not on the same timeframe that we've talked, that we were hoping for, but we still fundamentally believe it. So I appreciate the question and I can understand the concern. But I do think that our strategy right now is laser-focused and the cost reductions we've made give us a great opportunity with very modest revenue growth to get to cash flow breakeven, which is very important right now in this market environment, which is just different than it was 2 or 3 years ago. 
Sung Ji Nam: The next question comes from Sung Ji Nam with Scotiabank. For your benchtop long-read sequencer under development, Christian, appreciate that, that could alleviate some of the capital spending constraints in the current environment. But was curious what the overlap might be there for the addressable market. You mentioned a 1,000 or so labs, so with your existing customer base. Are the 2 segments meaningfully differentiated? And then over the longer-term, how do you see the benchtop versus high-throughput segments evolving for long-read sequencing? Could it kind of mirror what we're seeing currently for the short-read market? Or do you anticipate something different? 
Christian Henry: Yes. These are great questions. Thank you for them. The first thing is we do believe that there's over a 1,000 customers that could be opportunities for the benchtop long-read system. And people -- there -- always in these product portfolios, there's perhaps a little bit of overlap, say, between Revio and the benchtop. But the reality is, what happens is oftentimes is when a customer wants the higher throughput system, but doesn't have the demand yet for that, they may buy the lower throughput system and then within a reasonable period of time, say the next 24 months, within 1 year or 2, they end up scaling up. And so when you think about locking a customer in for the long-term with upsell opportunities, it's really a great way to get in. And we've seen that in the past in other places where you sell a less expensive piece of gear. And then over time, they migrate up to a more expensive higher throughput pieces of gear. I think that's exactly the same thing. I don't think the specifications on the long-read system, which we haven't published yet, aren't -- the overlap isn't -- there is no overlap. Revio is completely a different system. And so I don't think there's going to be a tremendous amount of cannibalization, so to speak, with the Revio. The benchtop system will be very powerful, we believe, in the clinical markets particularly in the smaller types of clinical labs, maybe not the highest throughput labs. But it will have a number of different applications in those clinical labs. When we talk about the benchtop system with our high-throughput customers today, every single one I've spoken to so far literally has said we want to have the benchtop system sitting right next to our Revio so that when we have an experiment that just makes sense to do on the benchtop system, they can do that and have that flexibility. So we actually see many of the higher throughput labs having both systems in place. And if you look across the industry with other players, that's certainly the case. Many customers have different kinds of systems from the same company doing same technology with different throughput levels for different reasons. So we see that. Now the question is whether or not the benchtop long-read system narrows our short-read opportunity. I don't think so at all. I think our focus in short-reads is on needle-in-a-haystack applications. And what that means is that we will be focused in areas where the benchtop long-read system really won't have a lot of strategic capability. And so I do think that they will be very separate. 
Operator: The next question is from Luke Sergott with Barclays. 
Unknown Analyst: This is [ Sam ] on for Luke. Thanks for the questions. I think you've mentioned before that some of the benefits from the Revio promotion would start to come through in the second quarter and that should be fully realized by the end of the year. How do you see this promotion kind of affecting the cadence of placements this year? Or you kind of see more in 2Q, given when the promotion -- it kind of began? And then you mentioned some sample delays impacting sequencing volumes in the quarter for some large customers. Could you kind of give us some granularity there? And did those come from POPSEQ projects? 
Christian Henry: Yes. It's a good question. So when you think about the promotions, the promotions are spurring new demand into the funnel, which has a lead time, and then perhaps getting that middle of the funnel closer to the tipping point, so to speak. And so I would not be surprised if the promotions start helping in Q2 and continue throughout the year. But I would also not be surprised to see if the promotions really have their biggest impact in the second half of the year just because of the sales cycles. And I think that we've seen these elongated sales cycles. This will probably help push people across the finish line and shrink the sales cycle some. So perhaps it'll have some impact in the second quarter. We're not giving specific Q2 guidance today. But I do think the environment is still tough in Q2 and when I look at the year, I look at the year, the second half definitely getting better than the first half. And so we definitely see that partially because, one, we see where the funnels are, but also because the larger scale POPSEQ-type projects will be -- they should mostly be fully operational in the second half of the year. And so that goes to your second question where some of the sample delays, they were from some of the larger-type population scale-type projects. And I do think some of those will start in the second quarter. We've already -- we're already seeing the Singapore project, it's slated to start this quarter. The All of Us project's been continuing. The MVP project -- veterans project is continuing. And the Estonia project's actually ramping really quickly. We've installed the systems, they've been trained, they're amazing people to work with, they have a lot of sequencing capability. And so we'll see how that project ramps. But we're pretty darn excited about that. And so hopefully this quarter that will get up and ramped as well and then grow over the course of 2024. So the back half definitely looks a lot more promising than Q2, but Q2, we are continuing to build the funnels and we're continuing to improve our execution over Q1. 
Susan Kim: I think one other thing that I'll add is, Sam, if you see in the earnings presentation, we had included a histogram of our installed base and what is across the horizontal axis was the utilization of the instruments in our installed base. But a key driver of that utilization, what you'll notice in the metric below that is that the month or the age in which that instrument was installed and how long it's been in installation is also a driver. So one of the things that we fully expect to happen is that the low utilization, which actually have been installed more recently, are going to start to move to the right. And that's going to help to grow our consumables revenue going forward. 
Christian Henry: Yes. That's a good point, Susan. 
Operator: The next question is from Tejas Savant with Morgan Stanley. 
Tejas Savant: Christian, sort of sticking with the needle threading and pipeline pruning theme here. So I want to start with the COGS side, right? So you talked about some good cost cuts on both the Revio unit as well as consumables. Can you just share how much will be passed on to customers via further price cuts and promotions and so on, and how much goes towards better margins to get you to that cash flow breakeven target for 2026? And then on the pipeline, just taking a different [ tack ] on some of those earlier questions, I know you mentioned work on that next-gen SMRT Cell for the ultra high throughput long-read instrument. But in a sense, I mean, is more long-read capacity in the market really the priority that you need to solve for when it sounds like, if anything, the fact that there's too much long-read capacity is what's hamstringing sales here a little bit beyond just the macro? And maybe the solution is, helping those applications for long-read mature and scale versus just place more boxes. I think you alluded to some of that on the commercial org side of things, but perhaps you can just elaborate on what you plan to do differently there? 
Christian Henry: Yes. Tejas, thank you. Those are good questions. Let's see. Let's start with the cost cuts and the -- what we're really seeing is we have been laser-focused on reducing the production costs of Revio, and we're doing that through a couple of different things. First, we're just getting more efficient and more effective in our manufacturing. We have pulled back some of the stuff that we've been outsourcing to in-sourcing which lowers the cost. We've been improving our supply chain and doing a lot of work around that, that's driving the cost down. But second, we've actually been improving our software and our technology, which has given us the ability to reduce the amount of compute required or the power of the compute required in the instrument. And so we're on a path -- a glide path to be able to buy cheaper GPUs, less expensive GPUs and get the job done. So those are things that are getting -- starting to get realized now in Q2, and will continue to get realized through the rest of the year. Some of that will get passed on to the customers. Some of it will drop to margin. It really depends on the situation. I don't have the exact breakdown in front of me because it'll be dependent on the customers. But certainly, we're taking advantage of that to improve our gross margins, and in cases where it makes sense, get that Revio installed and up and running consumables faster because in the long run, that will drive better margin to the whole business. So we're doing a little bit of both. On the 25M, we continue to make efficiency gains and improvements, yields have been getting better. That's where we've been taking a lot of cost out. Yields are starting to get better. We're improving our efficiency there. That's really great because that simplifies -- it simplifies our plan, but it also enables us to price wherever we need to price and improve our gross margin. A lot of that is going to our improvements in gross margin. So that's exciting. With respect to the pipeline, the next generation SMRT Cell is actually really important to the company. I agree that there is more capacity in the market in the last 12 months than ever before in the history of long-reads. And customers are absorbing that capacity. And it will take time, as I said in my prepared remarks. But I also believe that we have to be planning for the future. And the next generation SMRT Cell has been in development for a couple of years now. And these are very long development programs and we're pretty much at the end of the development of the SMRT Cell itself. Once we have the SMRT Cell, then we can decide when we develop the system around that and launch it into the market. But it is important to have that core technology available to us. So the reason why we're continuing on investing in it right at this moment is that the SMRT Cell itself is almost done. And we're working with external partners that we want to maintain those relationships with. But then that also gives us the flexibility to decide how and when to launch an ultra high throughput system. And that will be dependent on how the market moves. 
Operator: The final question tonight comes from Rachel Vatnsdal with JPMorgan. 
Unknown Analyst: This is [indiscernible] on for Rachel from JPMorgan. I just wanted to touch quickly on Revio backlog here. At the end of 4Q, you shared that the total product backlog was $19 million, most of it was Revio. So can you reconcile for us the 13 Revio's that slipped in the quarter with the 28 placements, and what that really means for your backlog at the end of 1Q? 
Christian Henry: Susan, you want to take that one? 
Susan Kim: Yes. So I might have missed the second half of the question. But -- so at the end of the year, last year, we did have $19 million in product backlog. We disclose our backlog once a year. We're not disclosing it on a quarterly basis. But one of the things that we have said that this year is going to be a year in which there is going to be more [ book-ship ], more turns in the year than we had last year. That's just the nature of being in the second year of a new product launch. So that is part of our assumption. And that is also included in our updated revenue guidance. One other trend that we have seen, which started in the second half of last year, is that customers are placing more standing orders for consumables, which has been a nice trend. And so customers when they purchase the Revio instruments, some are choosing to go ahead and place an order for consumables with a ship schedule. And also one thing on the instrument side is that we did not ship all of the instrument backlogs. So we do still have instrument backlogs. And we plan to continue to maintain instrument backlogs throughout the year. But that kind of gives you some of the characteristics that's embedded in our guidance. 
Todd Friedman: Great,. All right. Thank you, everybody for joining us today. That's going to conclude our call for today and we look forward to connecting with you throughout the quarter and updating you on our Q2 results later this summer. Have a good one. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.